Operator: Welcome to HF Sinclair Corporation and Holly Energy Partners Second Quarter 2023 Conference Call and Webcast. Hosting the call today is Tim Go, Chief Executive Officer of HF Sinclair. He is joined by Atanas Atanasov, Chief Financial Officer; Steve Ledbetter, EVP of Commercial; Valerie Pompa, EVP of Operations; and Matt Joyce, SVP of Lubricants and Specialties; along with John Harrison, Chief Financial Officer of Holly Energy Partners. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] We ask that you please limit yourself to one question and one follow-up. [Operator Instructions] Please note this conference is being recorded. It is now my pleasure to turn the floor over to Craig Biery, Vice President of Investor Relations. Craig, you may begin.
Craig Biery: Thank you, Adera. Good morning everyone and welcome to HF Sinclair Corporation and Holly Energy Partners second quarter 2023 earnings call. This morning, we issued a press release announcing results for the quarter ending June 30th, 2023. If you would like a copy of the press release, you may find them on our website at hfsinclar.com and hollyenergy.com. Before we proceed with remarks, please note the Safe Harbor disclosure statement in today’s press releases. In summary, it a statements made regarding management expectations, judgments or predictions are forward-looking statements. These statements are intended to be covered under the Safe Harbor provisions of Federal Security Laws. There are many factors that could cause results to differ from expectations, including those noted in our SEC filings. The call also may include discussion of non-GAAP measures. Please see the earnings press releases for reconciliations to GAAP financial measures. Also, please note any time-sensitive information provided on today’s call may no longer be accurate at the time of any webcast replay or rereading of the transcript. And with that, I will turn the call over to Tim Go.
Tim Go: Good morning. Today, we reported second quarter 2023 net income attributable to HF Sinclair shareholders of $508 million or $2.62 per diluted share. These results reflect special items that collectively increased net income by $4 million. Excluding these items, adjusted net income for the second quarter was $504 million, or $2.60 per diluted share compared to adjusted net income of $1.3 billion or $5.59 per diluted share for the same period in 2022. Adjusted EBITDA for the second quarter was $868 million, a 53% decrease compared to the second quarter of 2022. In our refining segment, second quarter 2023 EBITDA was strong at $703 million compared to $1.7 billion in the same period last year. This decrease was primarily driven by lower refining margins in both the West and Mid-Continent regions and lower refined product sales volumes due to higher maintenance activity. Operating expenses of $427 million in the second quarter of 2023 improved versus the $469 million recorded in the same period last year as we benefited from lower natural gas costs. We continue to focus on controllable operating expenses as well as streamlining and optimizing our operations. Crude oil charge averaged 54,000 barrels per day in the second quarter of 2023 compared to 627,000 barrels per day in the second quarter of 2022, due to higher maintenance activity during the period. I'm pleased to report that the two turnarounds at our Navajo and Parco refineries in the period were completed on-time and on-budget, and we continue to make progress on our long-term reliability improvement initiatives. In our Renewables segment, we reported EBITDA of $23 million for the second quarter of 2023, compared to negative $63 million for the second quarter of 2022. Excluding the lower cost of market inventory valuation adjustment, the segment reported adjusted EBITDA of negative $11 million for the second quarter of 2023, compared to negative $28 million for the second quarter of 2022. Total sales volumes were 50 million gallons for the second quarter of 2023, as compared to 26 million gallons for the second quarter of 2022. Utilization rates were impacted this quarter by two hydrogen plant turnarounds at Navajo and Parco which are co-located with two of our renewable diesel plants. We continue to improve the performance of this business with a target of achieving normalized run rates by the end of 2023, which will allow us to optimize advantaged feedstocks from our pretreatment unit and improve the profitability of this business. Our Marketing segment reported EBITDA of $25 million for the second quarter of 2023, compared to $24 million in the second quarter of 2022. Total branded fuel sales volumes were a quarterly record of 364 million gallons compared to 335 million gallons in the same period last year. Gross margin per gallon was also a quarterly record at $0.09 in the second quarter as we saw strong demand for branded fuels across our regions. We added nine new branded sites in the second quarter and continue to expect to grow our branded sites by 5% or more per year. For Lubricants & Specialty Products segment, reported EBITDA of $72 million for the second quarter of 2023, compared to EBITDA of $156 million for the second quarter of 2022. This decrease was largely driven by a lower FIFO benefit from consumption of lower-priced feedstock inventory for the second quarter of 2023 of $0.5 million, compared to the $71 million benefit in the second quarter of 2022. We continue to look for ways to optimize the Lubricants business, and we remain focused on sales mix optimization of our base oils and finished products. HEP reported EBITDA of $82 million in the second quarter of 2023, compared to $80 million in the same period of last year. This increase was mainly driven by strong transportation and storage volumes in the Rockies region. At this time, we do not have an update regarding the proposed buy-in of HEP, as we are still in discussions. We do not intend to disclose developments with respect to the proposed transaction unless and until on HF Sinclair and HEP have entered into a definitive agreement to effect the proposed transaction. For this reason, we will not be able to discuss any specifics during Q&A. During the second quarter, we announced and paid a regular quarterly dividend of $0.45 per share to stockholders totaling $87.3 million. Subsequent to quarter end, we announced earlier this week that we repurchased 1.2 million shares for an aggregate price $411 million from REH Company. This puts our year-to-date total cash return including dividends and share repurchases at over $834 million. On a trailing 12-month basis, we've returned over $2 billion in cash to shareholders as of August 2, 2023. Overall, we are very pleased with our strong second quarter results. With the majority of the planned turnaround behind us, we believe our diversified portfolio is well positioned to capture margins available to us the remainder of the year. Our long-term commitment to returning excess cash to shareholders has not changed, and we continue to target a payout ratio of 50% of net income to shareholders while maintaining an investment-grade rating. We remain focused on the reliability and integration of our asset base to further strengthen the earnings portfolio and free cash flow generation of HFC. With that, let me turn the call over to Atanas.
Atanas Atanasov: Thank you, Tim, and good morning, everyone. Let's begin by reviewing HF Sinclair's financial highlights. Net cash flows provided by operations for the second quarter of 2023 totaled $480 million, which included $183 million of turnaround spend in the quarter. HF Sinclair's stand-alone capital expenditures totaled $72 million for the second quarter of 2023. As of June 30, '23, HF Sinclair 's stand-alone liquidity stood at approximately $3.3 billion comprised of a cash balance of $1.6 billion, along with our undrawn $1.65 billion unsecured credit facility. As of June 30, '23, we have 1.7 million being a stand-alone debt outstanding with a debt-to-cap ratio of 15% and net debt-to-cap ratio of 1%. HEP distributions received by HF Sinclair during the second quarter of 2023 totaled $21 million. HF Sinclair owns 59.6 million HEP limited partner units, which following the acquisition of Sinclair Transportation represents 47% of HEP's outstanding LP units at a market value of approximately $1.2 billion as of last night's close. Let's go through some guidance items. With respect to capital spending for full year 2023, we have lowered our total capital guidance range from $940 million to $1.15 billion to a new range of $900 million to $1.06 billion. We now expect to spend between $250 million to $270 million in refining, $25 million to $30 million in renewables to $45 million in lubricants and specialty products, $20 million to $30 million in marketing, $40 million to $60 million in corporate and $500 million to $585 million for turnaround and catalyst. At HEP, we expect to spend between $25 million to $30 million in maintenance and $5 million to $10 million in expansion and joint venture investments. For the third quarter of 2023, we expect to run between 585,000 to 615,000 barrels per day of crude oil in our refining segment and we have planned turnaround scheduled at our Castberg and Tulsa refineries during the period. Let me turn the call over to John Harrison for an update on HEP. John?
John Harrison : Thanks, Atanas. HEP posted another solid quarter of earnings, driven primarily by strong crude and product volumes in the Rockies region. HEP's second quarter 2023 net income attributable to Holly Energy Partners was $50 million compared to $57 million in the second quarter of 2022. The year-over-year decrease was primarily attributable to higher net interest expense. HEP's second quarter 2023 adjusted EBITDA was $103 million compared to $104 million in the same period last year. A reconciliation table reflecting these adjustments can be found in HEP's press release. HEP generated distributable cash flow of $73 million and we announced a second quarter distribution of $0.35 per LP unit, which is payable on August 11 to unitholders of record as of July 31, 2023. A Capital expenditures during the second quarter were approximately $9 million, including $6 million in maintenance, $2 million of reimbursable and $1 million of expansion CapEx. We ended the second quarter with approximately $600 million in total liquidity, comprised of cash plus availability under our $1.2 billion revolving credit facility. We are now ready to turn the call over to Audra for any questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] . We'll take our first question from Manav Gupta at UBS.
Manav Gupta : Good morning, guys. We are consistently seeing an improvement in your capture rates both regions, which is very impressive despite the turnaround, help us understand some of the things we have been doing to attain this improvement in capture, which we are seeing over the last six to nine months.
Tim Go: Thanks, Manav, for your question. This is Tim. Let me ask Steve to comment on capture rates here.
Steve Ledbetter: Hey, Manav. Thanks for the question. I think it's a combination of everything. It's really around optimization, making sure that we're taking the right decisions to put the right molecule in the right market. From a margin perspective, we've had a bit of support. We look to optimize our laid-in crude structure and take advantage of some of the differentials that we we've seen. And then from an operations perspective, it's about running full, getting the molecules produced and getting them out into the right markets to get to capture where we want it to be. it's kind of a combination of everything.
Manav Gupta : Perfect. I have a quick follow-up. You have a West Coast asset it can run heavy crude. I want to understand a little bit what would be a next year tailwind for your overall crew slate as it relates to the Puget Sound refinery?
Steve Ledbetter: Yeah. Again, this is Steve. As far as the TMX is concerned, we think when it comes on, it will tightened the differential in the short term. But a few uncertainties include the ability of the dock to handle the capacity, get it off over the water and then timing of production, in terms of outrunning the capacity. So we think somewhere in the next three to five years, could be when a constraint occurs again and differentials widen.
Manav Gupta : But as it relates to future sound, that would be a benefit, right, if that crude lands upon the West Coast?
Steve Ledbetter: Yes. We believe that's the case.
Manav Gupta : Thank you.
Tim Go: Yeah. We think that will be helpful, Manav. This is Tim because it will also put some pressure on A&S crude as well as they compete for other refinery runs us Coast. -- because our Fusion refinery can run both crudes and it can go 100% A&S can go 100%. We believe it gives us an advantage to be able to arm those crudes post TMX.
Manav Gupta : Thank you for the detailed response and congrats a very strong quarter.
Tim Go: Thanks Manav
Manav Gupta :
Operator: We'll take our next question from Neil Mehta at Goldman Sachs.
Neil Mehta: Yes, good morning team and congrats on a good quarter. I wanted to kick off on return of capital. A lot of moving pieces around share repurchases and the agreement with REH. So maybe you could spend some time walking investment community with what's been announced here over the last couple of weeks as it relates to REH and then talk about your capacity, you can continue to return capital to shareholders?
Tim Go: Great. I'll ask Atanas Neil, to start off and then I can come in at the end and share.
Atanas Atanasov: Neil, thanks for the question and good morning. Well, first of all, our business continues to operate at and above expectation, generating robust cash flows. With that, our commitment to returning capital to our shareholders remains a priority and a focus. And as you can see year-to-date, we've repurchased with this latest announcement, 13.1 million shares. With respect to capital return to shareholders, we've said that our target is 50% payout ratio. We have consistently exceeded that, and our target remains to be at or above that. With respect to the family, we can speak for the family, but we have a constructive relationship. You have -- you can see there, you've all noticed the 13-D disclosures where they've indicated their intent to continue to track directly to us, and we're very much open and keen on continuing to repurchase shares. With the HEP transaction being under discussion, we have been, at times, locked out of the market, but we continue to look for those windows and this most recent transaction is indicative of our desire and commitment to continue with our shareholder return strategy. And we expect to be on that trajectory through the end of the year.
Tim Go: Yes. And Neil, I'll just throw in a few more comments, Neil. We've said in the past few conference calls that we can't speak for the family. So the family decided to speak for themselves, and that's why they put the 13-D out there. They wanted people to understand that they intend to transact directly with the company going forward. And then they also intend to maintain at least one more set for the foreseeable future. So, I think that provides some clarity in terms of what their intentions are, and they wanted to make sure that was clear to the rest of public. We said all along that in the middle of these HEP discussions, our window to buy back shares was going to be very restricted during the -- during these discussions. But as Atanas mentioned, we want to reiterate our commitment to shareholder returns. We found an opportunity between the two parties, and we took advantage of it and executed. And so we'll continue to look for more numbers in the events as the year progresses.
Neil Mehta: Thanks Tim. The follow-up is it was very heavy first half of the year from a turnaround perspective and a lot has been made at that. As you kind of look through the back half, maybe you can remind us again of the maintenance schedule and how we should think about the volume trajectory for the balance of the year?
Valerie Pompa: Yes, think this is Valerie. We have two turnarounds in the back half of the year. Casper, our Casper facility and then Tulsa towards the back half of September and into the fourth quarter. So those are -- impacts are listed and kind of more in our crude guidance. The rest of the year is a clean year. We don't expect any additional outages.
Tim Go: Yes, Neil, I'll just chime in. Val and her team have done a fantastic job of executing the heavy turnaround period that we had in the first half of the year. We knew all along that it was going to be a heavy load. We're happy to report, as we mentioned earlier, that overall, the turnarounds are completed on schedule and on budget. And in fact, that's the reason Atanas mentioned the lowering of capital guidance for the rest of the year is because of the way those turnarounds have been executed this year.
Q -: Thanks, Tim. Thanks, Val.
Operator: We'll go next to Paul Cheng at Scotiabank.
Paul Cheng: On the refining reliability improvement long-term, I think, you have said in the past is a 5 -- maybe five year to six year process and you are about two years to three years into that and were very happy turnaround that we are seeing. Are we still having another two years or three years, or do you think within the next maybe 12 months to 18 months, you will be largely complete. And when you complete on this process or initial process, what is the more sustainable -- in a more sustainable reliability? What you see on [indiscernible] put per year that we could be looking for? And also what kind of cost structure under that circumstances will be?
Tim Go: Hey, Paul. This is Tim. You're right. We are very pleased with how the turnarounds went. We're pleased with how our capture is performing, as was talked about earlier on this call. But this is a long process, right? And we've told all of it -- as we said all -- it's really measured by turnaround cycles, not by years. And so we've been working over the last two years or three years to improve our turnaround execution and to improve our turnaround performance this year, it just continues that effort. But we are -- we talk in terms of turnaround cycles. And so with a little bit more color, let me ask Val to maybe chime in.
Valerie Pompa: Yes. So our focus on our turnarounds have been strongly aimed at reducing operating risk and improving our utility reliability. So we have a more robust and resilient system. So if you look at any refining complex, the more resilient we can get our utilities and infrastructure, remove aging equipment the better off your reliability starts to look. So we've taken a big step with our -- those activities this year. We'll continue to develop our turnaround strategies in the coming years to support a sustained reliability improvement year-over-year.
Tim Go: And Paul, one last thing. You asked for what our target throughput is we -- in our mid-cycle roll-up that we put out there, we put 640,000 barrels a day as our basis. Of course, we think as we continue to implement these strategies that Valerie just talked about, that we hopefully will get to an above mid-cycle kind of condition. But I'd say at this point, we use 640,000 barrels a day is our first target.
Paul Cheng: Tim, you said crude or the total throughput that you are mentioning?
Tim Go: That's crude.
Paul Cheng: That's crude. And then under that, what type of unit costs we will be talking?
Tim Go: What kind of unit costs are we talking about? So we'll -- I'll let Val, say, something on that.
Paul Cheng: Not same on the natural gas price is somewhere in the 300 to 350. So if you can give us some idea that on the two regions, what is the -- say, what is your core unit cost once that you complete this with liability improvement?
Valerie Pompa : Yes. Yes. As we improve reliability, our costs will continue to come down a large component of any operating organization as large as ours is tied to how well you execute and how reliable your facilities are. So as we directionally improve there, our cost will continue to decrease. Our estimation is directionally, it will be down, and we're thinking somewhere between 600 and 650 over time.
Tim Go : You're starting to -- yes, Paul, you're starting to see some of the benefits of some of the integration work and some of the reliability work already that we're doing operating costs this quarter are down which is encouragement, but obviously, we have more work to do.
Paul Cheng: All right. Thank you.
Operator: Our next question comes from Ryan Todd at Piper Sandler.
Ryan Todd : Great. I was wondering if you could provide a little more color in terms of where you are in normalizing R&D operations. I mean, sequentially improved, but can you walk us through kind of the pathway where you think you are in terms of throughput utilization and kind of normalizing that up to a full run rate?
Atanas Atanasov: Yes. Good morning. This is Atanas. With respect to utilization and where we are, our goal has not changed. What we have indicated is that we're looking to achieve what we'd call normalized run rates, which is between 75% and 80% by the end of this year. As you can recall, we had the turnarounds of two of our colocated facilities, which impacted utilization rates. But on the flip side, it also gave us an opportunity to look under the hood, so to speak, and make improvements to our equipment, one of the -- some of the positive things that you're already seeing is the decreasing OpEx per gallon, which declined 29% quarter-over-quarter. Another thing is the improvements that we've made to Catalyst. So our focus has been process optimization as well as yield improvement and Cheyenne has been a great example of that. So at the end of the day, again, our goal has not changed. And we've been committed. 
Tim Go: Yes, maybe I'll just add on to that. I think we are excited about what we're seeing in the underlying capability of this business. As Atanas mentioned, we did show both yield improvement and reduced costs. We also ran well at Cheyenne with 99% yield and 89% utilization, which we believe is a good sign in our ability to drive productive levels and choose to run the economic barrels that we see fit. So excited about where we are and look for normalized towards the end of the year.
Ryan Todd : Great. Perfect. And then maybe any update just in terms of what you're seeing in the lubes business and the backdrop there, both from a -- as we head in as we're far way through the third quarter here in terms of what you're seeing on kind of the rack back and rack forward dynamics there, as well as maybe your continued thought process on in terms of the kind of the long-term suitability of that business within the portfolio?
Atanas Atanasov: Sure. This is Atanas. Just at the high level with respect to the performance of the business, what we're seeing is continuously strong performance. We have -- volumes have softened up a little bit primarily on recessionary fears around our specialties market, but on the flip side, one of the positives is our ability to hold up margins and continue to improve product mix, hence, the strong performance of the business -- and on an ex FIFO basis, where we are year-to-date compared to last year, we're actually $12 million better on an apples-to-apples basis. And so our goal is to continue to shift more of those base volumes -- base oils volumes into finished and specialty. And I want to remind you again that at the end of the day, we don't look at our businesses right back and right forward. We look at it on a holistic basis and I'll turn it over to Matt Joyce to provide some more color.
Matt Joyce: Yes. Thanks for the question. It's Matt Joyce here. More specifically, over the past quarter, in particular, team has done a tremendous job continuing to focus on streamlining our supply chain and manufacturing of certain products and end users. We've also been working to get better visibility to our costs through implementation, new digital tools that we're bringing on board that will help with inventory management and planning. So that's in process, and that will actually be seen in the second half of the year. So when you're looking into that quarter three, quarter four benefits. Those are some of the pieces that we're putting together. And we've been looking at the right mix of products. We're really fortunate to have a good balance of products that are in, what I'd call, sustainable markets where we can really be distinctive in our value proposition and our solutions to the marketplace. And we're very satisfied and excited about the opportunities that some of the regional focus that the team has taken in particular in the US in these markets, those have proven to be very good. So despite these headwinds, some of the softer volumes that the markets have experienced in general, we're doing really well to manage our margins, clean up and make sure that our own housekeeping are in order and look for the right targets and the right customers and partners to grow in the future. Andre, are you still there?
Operator: Yes, I'm still here. Can you hear me?
Matt Joyce: We can now, yes. Let's move on to next question, Ander.
Operator: Okay. We're going to go to Jason Gelman [ph] at TD Cowen.
Unidentified Analyst: Hey good morning. Thanks The first one I wanted to ask was kind of on the niche markets that you serve. I think both the Rockies and Southwest saw some margin strength in 2Q. And I was hoping, you could talk about what drove that and if you're seeing that continue into 3Q, particularly given some regional outages seem to be reaching their conclusion? And I have a follow-up. Thanks.
Steve Ledbetter: Yes, Jason, this is Steve. I'll take that one. Those markets that we serve, as you know, there's not a ton of liquidity in some of those markets and so supply demand balances can move pretty quickly. I think what we saw is the strength of the crack in those markets associated with low inventories -- in the peak of the driving season really allowed us to take advantage of that. When you think further out, we see some of the back half of the year, some of the cracks coming off and diesel normalizing to more fundamental position. But again, in our markets, we think we have a competitive advantage to take those -- those cracks and drive them to the bottom line, and we were to do that through the rest of the year.
Tim Go: Yes. And Jason, this is Tim. I'd just chime in to say we've always said, especially since the Sinclair combination that the strength of our portfolio in refining is the markets that we serve, which provide both growing demographics that are supporting demand advantaged crude and then, of course, product premiums for the Gulf Coast. And what you're seeing play out this year, I think, is very indicative of why we think we have a real competitive advantage in our portfolio.
Unidentified Analyst: Got it. And my follow-up is on M&A and refining. It seems like there's a number of assets coming to the market that are available for purchase. And Gino's obviously demonstrated a desire to consolidate the refining space over the past couple of years. So I was wondering if we could just get your updated thoughts on how you're viewing refining M&A are there any specific regions that you'd be more interested in other any types of assets, or do you feel like the size of your refining portfolio is in a good place right now?
Tim Go: Yes, Jason, thanks for the question. We believe in liquid transportation deals, we would not have done the transaction with or with Sinclair, we did not believe that there were years if not decades left for the derived refining assets, which we believe that we require. Having said that, we've just gone through a very successful Robur [ph] in 2020, we added our renewable diesel business. 2021, we acquired Puget Sound 2022. We acquired the Sinclair assets. And of course, in 2023, we're working on potential discussions with ATP. So there's -- we've had a lot of very successful growth and hopefully will continue as we continue discussions with ATP. But right now, as I mentioned, on the last call, our focus is on the same priorities that we've talked about when I first got into the job, we need to focus on EHS and reliability -- we know there's a lot of opportunity there. In fact, I'd like to say to our folks. We think there's a head and refinery there in the sense of improving our operations and capturing more throughput and more opportunity in the assets that we have as opposed to going into anything inorganic. And then the second thing is -- we're focused on integrating and optimizing the assets that we have. And that's what Steve was talking about earlier in terms of what you're seeing in capture and what Val was talking about that's what you're seeing in lower OpEx. We believe that our focus right now is to focus inwardly and to try to improve those -- the assets that we currently have. So we're not really in the market looking at anything right now, Jason. It's probably not the right time in the market time anyway with us with the market being above mid-cycle. And that's the suit is just fine because we have plenty of work to do organically. 
Unidentified Analyst: Great. Thanks for the answers.
Operator: Our next question comes from Roger Read at Wells Fargo.
Roger Read: Thanks. Good morning.
Tim Go: Good morning, Roger?
Roger Read: Sorry, I've missed part of this. We get kind of a crazy morning going on here with the earnings front. But I just wanted to come back, if we could, to the lube side of the business in terms of operations, just how is that shaking out? Seasonally, third quarter is usually pretty good in this, but we've seen so many moves here in base oil prices and supply chain issues that have hit. So I was just curious, are we finally entering a normal period with this, or are we still in kind of a jumble period? 
Matt Joyce: Raj, it's Matt Joyce here. Thanks for the question. What we're looking forward to is seeing a bit more of a normalized supply chain. I think we've as an industry, the Lubricants and Specialties business over the past couple of years, as you probably know, have faced a lot of upheaval with additives and growth and supply chains around the globe that have really impacted the business. And it's also been the start to stop coming out of the COVID hangover. And I think right now, there's some tepid anticipation that we're going to see some green shoots here with regards to demand. We're also hearing of and again, just very briefly that there are some other supply issues and reliability issues in the market when it comes to base oils. We're not certain that how big an impact that's going to have on the whole of the business. But certainly, we're in a really good position to fill that void as needed. When we look at it, it's very evident that cracks have shrunk, and we've seen crews roll up some increases over the past weeks and months. And we're looking at. And again, we're going to be considering and anticipating boosts in both base oils and perhaps even finished products northbound in order to manage the recovery of increased costs that the business has experienced in general, though, we're probably looking at above mid-cycle, but we're still watching that demand picture very carefully as it's been soft and we've been able to manage through that with the housekeeping we've been focused on over the past quarter or two.
Tim Go: Yeah. And Roger, I'll just chime in to reinforce what Matt was saying. We've now demonstrated above mid-cycle performance for the last 2.5 years and that's a tribute to the team as a tribute to all the integration and synergy work that they've been doing. All this time, you've seen the cracks starting to compress. I mean, this has been happening now for probably 3 or 4 quarters, and yet our business continues to perform. And I think that's a sign of the structure was that Matt and his team have been working on
Roger Read: That's definitely good to hear. And again, I apologize if this question has been asked. But on the renewable diesel operations, we've seen with some competitor start-ups going on a real tightening on the feedstock side. So I'm just curious, I mean definitely better results for you on a sequential basis. But as you're looking at feedstock options here into the second half of the year. Can you kind of walk us through how the PTU is running and then your choices for feedstock as you're kind of navigating the different costs of those.
Steve Ledbetter: Yes. This is Steve. I'll take that. I think you hit it head on. We see some tightening in terms of the overall margin structure in the back half of the year, partially due to feedstock but also the RVO standard, what that's done and then the LCFS supply that's kind of on the market. So we are looking to optimize our feedstock. We run a good portion of soy, but we have the ability to go take advantage of some low CI feedstocks. -- and we've got plans in place to go do that in the back half of the year. As far as the PTU, it's running very well. And we see that as a competitive advantage to our business and laying that in into some of the other assets where we could take advantage of that integration.
Roger Read: And one follow-up on that. Your hydrogen production, is that doing what you had anticipated across the RD facilities.
Steve Ledbetter: Yes. I mean, so as far as the hydrogen consumption and production, with the co-located plants, we had both of them down this quarter due to turnaround, which did impact the hydrogen availability to go run. And unfortunately, that was in two of the early months where margins were more supportive. But that's really just planned circumstance of the maintenance activities that were needed to be handled. But overall, we feel comfortable with our hydrogen availability to go run these plants and generate the products that we choose to put in the markets that we choose.
Atanas Atanasov: And this is Atanas. I'll only add that, again, as we mentioned earlier, one of the benefits of the co-located turnarounds is, particularly as it relates to our reformer unit is that turnaround ends up improving the reform of reliability and, therefore, the availability and supply of hydrogen and we have a number of other ongoing improvement efforts in the hydrogen plants, both at Navajo and Parco as well as Cheyenne So…
Roger Read: Great. Thank you.
Operator: We’ll take a follow-up from Paul Cheng at Scotiabank.
Paul Cheng: Thank you. Two questions, please. I want to go back into LP. I know that you're talking about the hydrogen availability. I mean, in order for you to run closer to, say, the [indiscernible], hydrogen was bottleneck, and I believe Tim had mentioned that you guys are working to substantially improve that availability and then may take until 2024. So can you give us an update on where are we on that to have sufficient hydrogen on site so that we will be able to under LP at a much higher rate than, say, the 75%, 80% in sales, you have to let the decision between running the diesel for the refinery or the running the LP and also that I think you guys have changed the customers. Can you give us an idea that the benefit on them in terms of the yield? And also that what's the duration that you will take now for you to make a -- to change their customers. I think previously, you've been doing about six months -- are we going to say any at a much longer duration.
Tim Go: Yes, Paul, this is Tim. Let me take a shot at some of the short-term questions and then I'll ask Val to comment on some of the long-term – longer-term efforts we're talking about. So we believe that with these turnarounds that we just completed in the second quarter and with some of the short-term hydrogen optimization steps that Val and team have been able to implement. And we will be able to run normalized run rates here in the second half of the year. And when we say normalized run rates, we're talking 75% to 80% utilization, right? And you kind of mentioned that number before. And we do think we can get to that level with the current facilities we have. Now, on a long-term basis, we are continuing to look ways to the bottleneck and expand hydrogen production. I can let Val talk a little bit about that in a few minutes, but I just wanted to make it clear that we do think we have a path forward here in the second half of the year to hit this from normalized run rates.
Valerie Pompa: Yeah. This is Valerie. So on the hydrogen, as you mentioned, with specific the co-located sites, we have reformers that we just went through turnarounds on. We've made significant improvements in those assets and reliability is expected and what we're seeing today is improving. Additionally, our hydrogen generation in context, we have several low-capital operational program improvements that will start to take place in the back half of the year. And we anticipate that, that will continue. Those small improvements will directionally add up to give us more hydrogen capacity as we go through the year. And then we're looking at what's next as we look forward. Let me comment a bit on catalysts. So we -- our catalyst is performing well. We are seeing and as I mentioned before, 99% yield in our Cheyenne facility. Our interval and duration, as we've learned how to operate these units is improving with each learning in each time we have an opportunity to employ some new operational improvements. So we're anticipating that those will continue to lengthen.
Paul Cheng: So another is that, what is the current expectation or the cleared between you have to change the catalyst?
Valerie Pompa: Generally, we're not going to disclose kind of the exact numbers, but I can say directionally, we're seeing improvement.
Paul Cheng: Okay. So this sound like unless that you have fun or they made some pretty significant investment, we shouldn't assume other operation from a hydrogen availability standpoint next year, could be doing much better than 75% to 80%?
Steve Ledbetter: I think that's what we're -- that's our target, Paul, to get to by the end of this year. I think next year, of course, we're going to be -- have implemented some additional improvement steps. And it's too early to give you any type of guidance or targets for next year. But I think what we're saying is by the end of this year, we should be at that one.
Paul Cheng: Okay. Tim, one of your competitors that have actually been improved capture and profitability due to substantial ramp of the commercial operation wondering that when you're looking at DINO, do you think that you have the right commercial culture and organization in personnel.
Tim Go: Yeah. Paul, it's a good question. We know there's a lot of, in fact, several competitors out there who were talking about their commercial capabilities. I think we've got a similar focus here at DINO to try to look at that. I think some of our competitors are talking about trading as well as part of that commercial capability, we are not looking at trading as part of our commercial capability, at least not at this point time. I just don't think we have the right resources to probably get into that. But I will ask Steve to comment, because one of the things, as you know, Steve has been brought in to do is basically help us look at our commercial capability and improvement.
Steve Ledbetter: Yes. Thanks, Tim. Paul, I think from -- and so this is early days still, but after being here for three months, things that will reflect on when you asked about commercial culture and capability. I think we have a high degree of talent and capable commercial people, who really have a lot of expertise in this arena, both optimization, planning, refining across the assets and into the markets that we want to go play. And even to the extent that we understand where we have advantaged easy non-speculative trade, we take advantage of that, take advantage of differentials. I think our opportunity here is really around enabling and unlocking more value in an integrated fashion through tools such as enhanced digital, real-time information. And I think that's really kind of the next frontier that we go take on, and we see a lot of value there. I think we're just kind of at the beginning of unlocking the true integrated value of this company that has been put together with these assets over the past few years.
Tim Go: Yes. Paul, when I say our first priority is to improve CHS and reliability, think operations. And then when I say, our second priority is to integrate and optimize our new portfolio of assets in commercial. That's how we're approaching those two priorities.
Paul Cheng: All right. Thank you.
Operator: And that does conclude the question-and-answer session. I will turn the floor back over to Tim Go for any closing remarks.
Tim Go: Thank you, Adera. Our second -- our strong second quarter results are a testament to the strength of our business and the hard work of our employees to execute our strategies and deliver these results. We believe our refining, marketing and lubricants businesses are all performing above our mid-cycle estimates. And the majority of our planned turnaround work behind us, we believe we are well positioned to capture the margins available to us for the remainder of the year. Our priorities remain the same: to improve our base CHS and reliability; to integrate and optimize our new portfolio of assets; and three, to return excess cash to our shareholders. Thank you for joining our call. Have a great day.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time, and have a wonderful day.